Operator: Good day. And welcome to the MicroVision Third Quarter 2022 Financial and Operating Results Conference Call. At this time, all participants are in listen-only mode. [Operator Instructions] At the end of today’s presentation, there will be an opportunity to ask questions via a chat line. [Operator Instructions] Please also note this event is being recorded. I would now like to turn the conference over to Drew Markham. Please go ahead.
Drew Markham: Thank you, Operator. I am pleased to be joined today by our CEO, Sumit Sharma; and our CFO, Anubhav Verma. Following their prepared remarks, we will open the call to questions. Please note that some of the information you will hear today will include forward-looking statements, including, but not limited to, statements regarding our product development and performance, comparisons to our competitors, market opportunity, product sales and future demand, business and strategic opportunities, customer and partner engagement, projections of future operations and financial results, availability of funds, as well as statements containing words like potential, believe, expect, plans, and other similar expressions. These statements are not guarantees of future performance. Actual results could differ materially from the future results implied or expressed in the forward-looking statements. We encourage you to review our SEC filings, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q. These filings describe risk factors that could cause our actual results to differ materially from those implied or expressed in our forward-looking statements. All forward-looking statements are made as of the date of this call and except as required by law, we undertake no obligation to update this information. In addition, we will present certain financial measures on this call that will be considered non-GAAP under the SEC’s Regulation G. For reconciliations of each non-GAAP financial measure to the most directly comparable GAAP financial measure, as well as for all the financial data presented on this call, please refer to the information included in our press release and in our Form 8-K dated and submitted to the SEC today, both of which can be found on our corporate website at ir.microvision.com under the SEC Filings tab. This conference call will be available for audio replay on the Investor Relations section of our website at www.microvision.com. Now, I’d like to turn the call over to our CEO, Sumit Sharma. Sumit?
Sumit Sharma: Thank you, Drew. Good afternoon, everyone, and thank you for joining us today. Q3 represents another quarter of tremendous progress at MicroVision. This includes delivering on a number of critical milestones in our go-to-market strategy. As we approach the end of calendar 2022, MicroVision is better positioned than ever and offers a complete hardware and software solution that exceeds the expectations and requirements of OEMs for their planned RFQs in 2023 and beyond. I will cover this topic in more detail later in the call. I would like to start by highlighting three important accomplishments in this quarter that have put us in a leadership position heading into 2023. First, we delivered on our commitment by achieving Class 1 compliance and beginning to sell samples to OEMs and Tier 1s. Class 1 compliance is a critical milestone, the importance of which cannot be overstated. MicroVision has more than 20 years of experience and expertise in developing products based on laser beam scanning, so the Class 1 compliance process is not new to us. We have taken an incredible amount of engineering and technology to develop a solution that meets Class 1 safety criteria, while also meeting the performance standards set out by OEMs. We view our patented Automatic Emissions Controls system as one of the numerous key differentiators that make the MicroVision solutions superior by combining safety and performance. Thanks to our experience and our innovative approach to safety to our patented AEC system, we are proud to be the first LiDAR product to achieve Class 1 compliance at a unit level offering pixel-by-pixel safety. This news was well-received by OEMs. This shows our commitment to safety and how it will further enhance the functional safety OEMs can offer to their ADAS system in a cost-effective 905-nanometer laser LiDAR, the only laser technology nodes that are shipped in volume to automotive standards. Our technology unlocks all the benefits of 905-nanometer lasers without the high cost and high power structures for 1550-nanometer products, achieving Class 1 paved the way for a second key Q3 milestone, delivering samples to OEMs and Tier 1 customers. The start of sample sales with the first deliveries made within the quarter is a major achievement for the company. I am proud of our teams in Redmond and Nuremberg for achieving this important milestone. This is a very big step towards potentially being selected by automakers as a partner to power their next-generation safety programs. These samples will allow OEMs to continue to evaluate our solution in their own test environments, as they look towards RFQs expected in the first half of 2023. I will elaborate on this later in the call. The start of sample sales also means that we can begin developing our non-automotive channels. We expect new sources of revenue from these initiatives starting next year. Anubhav will cover this potential opportunity during his prepared remarks. Finally, one of our big accomplishments to-date has been traveling nearly 7,000 kilometers to promote our technology to OEMs across Europe. These relationships have allowed us to gather meaningful feedback and to align our program milestones with their upcoming RFQs in 2023. We are on track with our samples and development to participate in these RFQs. We introduced MAVIN DR, our low-profile, high-resolution and dynamic range cost-competitive sensor, and we continue to receive validation that its performance, size and future costs are the best that OEMs have reviewed to-date in any A-sample. This positions us well for the next phase of OEM RFQs requiring LiDAR. To put it simply, our current hardware meets or exceeds all requirements and puts us in a leadership position to compete in the 2023 RFQs. I would now like to move our focus to talking about the key features OEMs are looking for in 2023 and beyond in LiDAR technology, and how MicroVision is positioned as best-in-class. First, we understand that OEMs are looking for a low profile sensor with low power requirements for roofline mounting without ugly sheet metal bump-outs. Low profile is of utmost importance because it offers more flexibility in terms of where and how it can be effectively mounted and strictly integrated into the car’s design. Only MicroVision’s slim design allows for the desired flexibility. Plus, our planned ASIC will provide an object-level interface from the LiDAR. The result of these two attributes together in a small footprint combines for the lowest power system solution. MAVIN is designed with a low profile and a mere 18-millimeter-tall aperture window. There is no competition in the market with A-sample ready now that offers such a low profile sensor. This is incredibly thin. Our meticulous designed hardware is arriving at the perfect time and this is what OEMs are looking for future models. Next, OEMs expect extremely high resolutions that makes it possible to detect small objects and road surfaces at longer ranges at high speeds. This translates to 200-plus-meter range, 0.04-degree vertical angular resolution streaming at 30 hertz with object level software interface in line. These are our core features. The quality of the MicroVision point cloud is unmatched. Our resolution and range are second to none. The raw unaltered LiDAR point clouds we have shared through the late summer and fall are a testament to this. With our proprietary pixel-by-pixel Class 1 solutions, we are able to achieve long range and resolution OEMs desire. No other current solution in production or promised by any competitor comes close. While other competitors may be sharing data that uses low frame rate super resolution or other sensor fusion techniques to augment gas in their raw LiDAR data, MicroVision videos are pure 100% LiDAR. We offer the clearest, most actionable picture of the road ahead. OEMs appreciate this authenticity during live demos. Next, OEMs have reiterated the importance of hardware with an established supply chain and known cost. MAVIN is build with materials already in OEM supply chains today. This means our solution is scalable, sourceable and supports a lower cost structure, and with no exotic materials, it guards against supply chain challenges. Finally, object level perception software running on a custom ASIC will be another important criteria for OEMs in their 2023 RFQs. This capability gives them an efficient and scalable approach to building new and differentiated safety features in a timely way. Only MicroVision solution is built from the ground up with this approach in mind. Our fully pipelined LiDAR means that control of the entire system is happening in the custom ASIC in real-time. This unlocks massive opportunities for lower cost solutions that’s reliable, secure and delivers high performance allowing all the systems to operate in parallel. I am more confident than ever -- I have ever been that MicroVision is positioned for success in 2023 and beyond. As I look ahead to 2023, we have several focus areas for customer acquisition and continuing to advance our technology and manufacturing capabilities. From the customer acquisition standpoint, we are focused on several OEM RFQs targeted for first half 2023. This is based on their timeline. As I have outlined on today’s call, I am confident that the majority of our technology, OEM focused business model and track record for partnering and delivering solutions positions us well for success. In 2023, we expect to achieve a number of new technology milestones, including our analog and digital ASIC launching, as well as establishing new automated manufacturing lines that will prepare us to scale up production closer to our OEM customers. Our LiDAR hardware is already breathtakingly thin today, a mere 18-millimeter aperture window with less than 45-millimeter sensor height. To put this in context, the face of an Apple watch is just 44 millimeters. To pass the optics power management and digital systems into this design is truly a feat of engineering. I applaud our team for achieving this. With the introduction of our ASIC, we will be able to reduce the overall footprint of the hardware even further by making MAVIN even more compact than it already is today. Before handing the call over to Anubhav, I’d like to sum up these key thoughts. We continue to offer the best-in-class sensor ready for OEM RFQs expected in 2023. We have visibility into multiple customer programs where low-profile and low-power sensors are required to allow mounting along the roofline. We continue to offer greater than 10 million points per second at 30 hertz. This enables key features like small object detection and will expand object level interface. Again, we are the only LiDAR company that can offer this, and with a strong balance sheet and disciplined operational expenses, we remain in a strong position to execute. While I expect the LiDAR space will experience consolidation in the months ahead, MicroVision is strongly positioned and prepared to deliver to customers. Our A-samples are shipping to customers now. And with our pedigree for delivering on development agreements, MicroVision is in an unmatched positioned to become a trusted partner to a top tier OEM. The ADAS market with LiDAR -enabled safety has real demand from multiple OEMs instead of being captive to ebbs and flow of a single customer demand. This is a real demand for multiple years of programs from OEM that pioneer automotive safety. Some realignment in this sector will happen in the coming quarters, but with our strong balance sheet and opportunity ahead, I expect us to remain a strong contender. I have never been more confident in MicroVision’s future than I am today. I’d now like to hand the call over to Anubhav to discuss financial performance. Anubhav?
Anubhav Verma: Thanks, Sumit. I am pleased to report that as of this date, we have achieved all the milestones we had laid out earlier this year. To remind investors, with the track testing of our highway pilot feature for our integrated LiDAR solution with perception software in both the U.S. and Germany for complex highway driving scenarios. As Sumit described earlier, we achieved pixel-by-pixel Class 1 compliance, which we believe is a first in the industry and positions our MAVIN product well to be adopted by OEMs for their safety standards. These two achievements further helped us begin sample sales to OEMs and Tier 1s in the fourth quarter. The continued engagement with OEMs, highlighting the capability of roofline integration, because our product has one of the most streamlined form factors on the market, along with a low latency highway pilot solution, positions us well to compete in the upcoming RFQs. Now, let’s discuss our Q3 financial performance. Revenue, our current customer, Microsoft, communicated to us that there were no units delivered in the third quarter. As we have stated previously, our revenue recognition is directly tied to the number of units delivered by Microsoft. Hence, no revenue was recognized in Q3. As a reminder, this revenue is attributable to the contract executed in April 2017, with Microsoft for using our technology in their AR display product, HoloLens 2. As of September 30, we have an unapplied $4.6 million balance left on this contract liability. We gave revenue guidance last quarter based on the information provided to us by our customer. However, at the end of the third quarter, the customer revised its statement and communicated to us that there is no forecast available. Our agreement with Microsoft continues to be an effect with an expiration date of December 2023. Please note that no cash has been received for this royalty revenue in the past several quarters as we had received an upfront payment of $10 million at the contract signing in 2017 and apply recognized revenue against that prepayment. Expenses, in terms of expenses, this was one of our most efficient quarters with our cash burn being only $9 million for the quarter. This was in line with our expectations as I had provided in our prior call. R&D expenses totaled $7.5 million, compared to $5.8 million last year. The increase was primarily driven by higher salary and benefits, non-cash stock-based compensation and higher non-direct labor expenses. SG&A expense totaled $5.5 million in the third quarter this year, as compared to $5 million last year. The increase was primarily due to higher non-cash stock-based compensation and higher salary and benefits. We continue to invest to accelerate our business development efforts and marketing efforts. The increased non-cash stock-based compensation is an important component as we invest in our talent pipeline and motivate our employees to share the upside in the growth of the company. I am very pleased with the $9 million cash used in operating activities for the third quarter. As I described in previous quarters, this burn number was down sequentially in line with our guidance. This demonstrates our strong financial discipline. In these times of uncertainty and weaker macroeconomic conditions, MicroVision has stood out and beat all other competitors in terms of maintaining a healthy burn rate and headcount with a strong balance sheet. We have been prudently investing and not following the spend aggressively model as most of our competition who now have to announce the rightsizing the headcount initiatives. We believe our financial discipline positions us well to now gradually scale as we march towards establishing a sustainable business model. CapEx in the third quarter of 2022 was $0.9 million, which was driven by build-outs and tenant improvements in the new facility that we are moving into at the end of this year. While CapEx is expected to go up in Q4 2022, the move to new facilities with larger labs and manufacturing capabilities will mostly be cash neutral as we are financing this move with incentives to leave our existing premises. Again, in line with continuing our discipline and rigor, we do not expect this move to be a significant cash burden in the company. We finished the quarter with a liquidity of $83 million, including investment securities. As interest rates have ticked up in the year-to-date period, we have added short-dated one-year treasury bills to capture some yield from the market and hence our investment securities have gone up from $33 million at the end of December to $61 million at the end of September. Looking ahead, at this point in time, we do not have visibility into future revenue from Microsoft, but we will provide an update if and when we do. Now regarding our core area of focus, revenues from automotive LiDAR sales, we expect to recognize some revenue from the direct sale of samples to OEMs and Tier 1s in the fourth quarter. At the moment, we do not expect significant revenue from the direct sale of these LiDAR sensors. However, as our continued engagement with OEMs move further along, we expect to provide some color on 2023 revenues as part of our fourth quarter fiscal year 2022 results in February next year. Our 2023 revenue expectations will comprise a combination of revenue streams, including our LiDAR solution, hardware and software sales, and non-recurring engineering projects with OEMs and Tier 1s. In terms of expenses, we are reaffirming our guidance of $18 million to $20 million of operating expenses cash burn for the second half of 2022. Hence, we expect cash used in operating activities for the fourth quarter of 2022 to be in line with the third quarter. Before we open the line to questions, I want to close by reiterating a few key themes. First, our strong financial discipline and the rigor of our mature public company makes MicroVision stand apart from our peers, as we deliver on our commitments and execute our strategy to create a truly scalable business. Second, our impressive financial metrics, including having the lowest cash burn in the industry and a strong balance sheet, have positioned us as one of the leaders in the automotive LiDAR category. We believe our peers that have maintained aggressive spending practices will struggle in the current macroeconomic environment. Third, the business model we have committed to remains strong and the market opportunity lucrative. We believe we can build a business where the cumulative revenue opportunity through 2030 for MicroVision could be between $2 billion to $4 billion. This corresponds to a cumulative EBITDA profile of $1 billion to $2 billion once we are able to secure the series production partnerships with Tier 1s and OEMs for our sensor units to be included in their fleets. All these assumptions are based on assumptions of an estimated $500 ASP for our LiDAR solution, with the market share of MicroVision growing from 15% to 40%, depending on the number of -- depending on the adoption by the number of OEMs. And finally, our company DNA prioritizes being disciplined upon using cash to execute our strategic objectives. Based on our annual burn rate and current liquidity, we are well positioned to scale the business as we get more momentum in our engagement with OEMs. Another metric we internally track is price to cash, which is the ratio of market cap to the latest reported cash balance. Using this metric, we are one of the most valuable LiDAR companies on the market and well positioned to become one of the industry consolidators, as some of the other LiDAR companies with significantly higher cash burn, 3 times to 5 times as ours and high headcount continue to struggle and falter. To put it simply, not only is MicroVision well positioned to win OEM RFQs from the standpoint of offering the best technology and the most mature solution, as Sumit discussed, but thanks to our disciplined approach, our business is in a position of financial strength and stability, poised to execute on our strategy. With this, I would like -- now like to open the line for questions.
Operator: Thank you, Anubhav. [Operator Instructions] And the first question will be from Andres Sheppard with Cantor Fitzgerald. Please go ahead.
Andres Sheppard: Hey, Sumit. Hey, Anubhav. Great to hear you. Congrats again on the quarter and all the milestones. I guess, first question I am wondering is in terms of revenue. Now, I know you don’t guide Q4, but can you give us a sense of kind of how we should be thinking about Q4, particularly given that the sample sales have begun, should we expect a larger ramp up in Q4? Thanks.
Anubhav Verma: Thanks, Andres. Let me take that question. So in Q4 -- I want to break this question into two parts. So the first is revenue from our new MAVIN products. So we have made some sample sales, so we expect to recognize revenue in this quarter. However, as I mentioned, this won’t be a significant number. As we ramp up in 2023 our engagements, we would have meaningful streams of revenue coming from the sale of samples. The second stream would be non-recurring engineering projects with OEMs, where we would -- the OEMs we would be working on would have customizations or whatever they need for the product to be included in their fleets. And obviously, direct sample sales that we would be accelerating as our MAVIN product is Class 1 certified and we can expand the streams into research labs, universities or whoever is interested in buying our product. So this would be the three streams of revenue from the automotive LiDAR that we expect in Q4 and next year. Now, obviously, I think, I touched base on this in my prepared remarks. Microsoft revenue, obviously, it’s in autopilot mode. They send us volumes of our MEMS models shipped at the factory and we simply report and reduce our contract liability. They had given a volume forecast earlier, and then at the end of quarter, as late as last week, they came back to us and reported zero shipments. At this point, we do not have a forecast from Microsoft for Q4 and beyond for this stream of revenue, but obviously as and when we get the forecast, we will convey that to the market and that could also be added to the revenue forecast of next year. So hopefully that covers your question.
Andres Sheppard: Yeah. No. It does. Thanks, Anubhav. And I guess maybe just a quick follow-up on that, and so I think in the previous call, you had mentioned something about closer to the $1.5 million in revenues for the year. Now, obviously, revenues for this quarter were not -- what you were expecting given the Microsoft. So should we still look at that $1.5 million as a framework or just given the reduction in this quarter, should we maybe foresee a little bit less than that?
Anubhav Verma: So I think at this point what Microsoft has told us that they do not have a forecast for Q4 and like I said, we are on autopilot. So we simply get volume data from them and we report the units -- we report that data back as revenue. So at this point, we do not have any visibility into what the Q4 volume will be and hence -- the $1.5 million I think you are referring to was based on the forecast we had received last time and hence, that’s why the number has changed given the latest communication.
Andres Sheppard: Got it. Okay. No. That’s helpful. Thanks for clarifying. In terms of milestones, right, so obviously, congratulations on achieving Class 1 compliance and on completing the track testing of the highway pilot. Can you just remind us folks on the call what are the next milestones, what should we be focusing on both for the remainder of the year and also for next year?
Sumit Sharma: I think -- I will take that one, Anubhav. I think for remainder of the year, I think, we are just building out samples for our A-sample sales that we have talked about, but as Anubhav mentioned, they are limited. They are targeted primarily towards folks that are going to be evaluating for RFQ, which OEMs have their own timeline and the RFQs are in first half 2023 timeframe. It’s not solid, right, but they have a process they are going to start with. So our priority of course is getting those samples ready and having them -- getting them access to them. It makes it much easier now because we can make handful of samples here in Redmond and the balance of course as we scale, we are going to talk about that a little bit in a few seconds here. As far as next year, our primary focus is of course these RFQs and achieving them, but as you can imagine, right, there’s not a milestone that we can discuss milestone will be. If there’s an award, we are going to announce to the market. So we will update on the earnings call how things are going as we go along, right, if we are allowed to and if we can actually give any clarity on the process. But as you can imagine, right, it’s a long-drawn-out process. You have to become very comfortable with the company, the technology roadmap, manufacturability and we just have to go through the process. And I am pretty confident that we are going to get through it. As far as other milestones that market can actually track. As we mentioned early on -- as I mentioned early on, our analog and digital ASIC programs would have to start going there sort of in parallel. If any kind of volume is going to get delivered several years down the line, these ASICs have to get started. So as we get more clarity and more visibility into what’s happening with RFQ, we intend to advise the market, definitely, of what those milestones for those ASICs are. So right now our development is continuing on the ASIC. We intend to probably launch the analog ASIC first, that’s always our classical path and the digital ASIC after that. And the reason for that offset is, in case a potential customer, an OEM wants to have some custom feature put inside our ASIC just for them. We are certainly open to that, and we have actually made them aware that we have done that before and that’s part of our wheelhouse, so we are happy to do that. So there’s going to be some lag between that. The other big milestone, of course, is we are going to transfer our automated line that we have shown pictures off and we have talked about previously. We are going to establish a manufacturing footprint for this pilot line to again increase their comfort level with the entire technology of how it scales, but still maintaining control of the hardware sales because ultimately that’s how we are going to monetize the technology. Does that answer your question, Andres?
Andres Sheppard: Yeah. No. Absolutely. That’s very thorough and insightful. Thanks, Sumit. Appreciate it. Maybe a quick follow-up there is, you are reaffirming guidance -- cumulative guidance, which includes securing more than two partnerships with OEMs by 2030. So I guess my question is, when do you think -- what’s the earliest that we could see an OEM partnership announcement?
Sumit Sharma: I think that’s -- really based on that process it will be hard for me to comment, but I can give you a general idea. If I had a specific time I would be more specific. But I think we expect some time process to start, and based on their timeline and their comfort level is that they will make a design win nomination sometime in the summer. So I think that’s the best I can give you right now without divulging too much.
Andres Sheppard: Got it. Okay. Thank you. Maybe my last question if I may, in terms of your capital needs, right? So, obviously, you have that $70 million ATM facility. Although I am wondering at these levels, issuing shares might not be preferable as that will dilute shareholders. And so I guess my question is, do you foresee going into the market to pursue any other sort of capital raising opportunities, perhaps, a pure debt offering in the future?
Anubhav Verma: Yeah. So let me take that question. So, Andres, I think as I pointed out, our cash burn is $9 million and our balance sheet has $83 million. So obviously it’s more than nine quarters of runway from that standpoint. So, obviously, we have historically stated that we will be using the ATM program as a strategic tool to raise capital as and when needed. So obviously that strategy still remains. Now regarding debt, obviously that’s something that I think LiDAR industry as a whole would be looking to do so, because obviously, we would like this industry to move towards a cheaper cost of capital from that standpoint. So as and when opportunities present themselves, we would be tapping into or looking into these alternatives as well, because at the end of the day, we want to create shareholder value and have the lowest cost of capital for the company.
Andres Sheppard: Wonderful. Thanks, guys. That’s all my questions. Really appreciate it. Congrats again on the quarter and I will pass it on. Thanks again.
Anubhav Verma: Thank you.
Sumit Sharma: Thank you.
Operator: Thank you. I will now turn the call back over to Anubhav Verma to read questions submitted through the webcast. Thank you.
Anubhav Verma: Thanks, Chad. All right, so I think the first question we have is, what does the company have to say about the Chariot Group recent announcement for selecting a partner for some of their brands and similarly Stellantis’ selection, is MicroVision too late?
Sumit Sharma: All right. I will take that.
Anubhav Verma: Sumit, do you want to take that. Yeah.
Sumit Sharma: Yeah. I will take that. So that’s a great question. I think I get this is quite often, most recently in Seattle airport. So I think we have kind of answered this before, but let me just highlight this and get a little bit deeper today. So if you go just do public data search where you will understand it, what they have actually selected is a single software platform and there’s no guarantee or applicable across all platforms. As you can imagine, a OEM of that size for every vehicle or different classes of vehicle, they are different software platform and they have not unified all their software platforms under one. As you can imagine, they have endeavored to do that but in several years, I mean, a CEO recently got fired from that company. So kind of just puts in context that -- those brands, all the different brands under the big umbrella, they all have their own software platforms. So it’s not so straightforward. Now, I think, I will allow other people to say what they want to say on their earnings call and describe the market. I think at least our shareholders know a little bit about me. I tend to be pretty straight about these things. I am not going to be cute about it. These are the facts and they cannot be disputed, plain and simple is public data, all right? And if you think about it, the other -- you mentioned Stellantis as well, right, and of course, Chariot. You think about these other sensors that are publicly announced, they have like high profile and when I say high profile is the front face is kind of tall. There’s only one location it can be mounted, somewhat lower to the ground so it can be blended into the body of the vehicle. And that presents a lot of challenges for the next generation what they are looking for. I can clearly tell you personally, I have been in the room, what they are looking for is high-speed highway pilot, roofline mounting, range, extremely high resolution at a very, very low latency, plain and simple. And this means, if you think about roofline mounting, without any big ugly bump-outs that make a nice-looking car into like a taxi-looking that requires a low profile. So if you think about it, right, anything that’s been done so far, even OEMs they mature their product, they mature their need. Every year they have a new need. So when you think about RFQ cycles that happen every year or every so often. There’s new requirements that come in. So we took a little bit longer to develop our product, but the benefit we have is we have baked in a lot of the features ahead of everything. So I quite often get this question, like what’s your resolution? It’s significantly higher than anybody else that’s out there. The data pipeline is so large that they are saying, yeah, this is great that we can have that but this is amazing. They can have anything. They can always down sample if they want. But they want the high resolution and it’s ready to go. They sit in the demo cars, they pick the drive, they can see the sample. It’s all there, right? And not one person has complained about the resolution. If anything else, they are kind of amazed how we are doing this at 30 hertz, and of course, there’s a lot of innovation that we talk about there. I think to round out that question, the answer to this question, right? When you think about like everything we are hearing is about a low-profile roofline-mounted sensor that has long range and high resolution and low power. I think that’s kind of like a blurb, pretty much like the tagline written for our product. So, again, and that’s been announced. It’s hard for me to say that that’s it when the documents I am seeing or the intentions that I am hearing, they clearly state features that do not exist in anybody’s product. So I think MicroVision is perfectly timed for new L3 programs, their high speed highway pilot. And the RFQ cycles are starting now in Q1 and ending in summer 2023, as I mentioned. So I actually look forward to reporting on this, but I do not believe the case is as close as people have made it to be.
Anubhav Verma: Thanks, Sumit. I will take this next question. It’s about revenue. The U.S. Army has reportedly been accepting the first tranche of 5,000 units of IVAS units valued at over $190 million from the $22 billion contract with Microsoft. Given that IVAS is based on HoloLens 2 and MicroVision provides the display engine, can the team comment on how the acceptance of IVAS units by the Army may affect MicroVision? That’s a great question. Look, we have the current agreement with Microsoft in effect and expect that to continue through the next year. At this point, however, we cannot comment anything on Microsoft’s future plans regarding HoloLens 2 or the IVAS project. The next question is, I am getting is for Class 1 compliance. So Class 1 compliance was achieved with patented AEC methodology. Can this be monetized via licensing or would we use it solely to maintain competitive advantage in capability and cost, and are there other licensing possibilities MicroVision is exploring in LiDAR ADAS with this unique approach?
Sumit Sharma: I will take that question.
Anubhav Verma: Sumit, do you want to take that.
Sumit Sharma: Yeah. Yeah. Yeah. This is a good one. All right. So our AEC methodology is proprietary technology that gives us a huge advantage in selling our sensor. Our core business model, as we have talked about multiple times is to monetize our technology towards profitability of the company with sale of our sensor and software license. So this is a key stone that allows us to be extremely competitive and have a very nice competitive moat in the market. So that’s context, all right? The other thing that people have to understand, AEC is not a software feature that can be implemented everywhere else, but instead it’s a more elegant implementation of our future digital ASIC, where the compliance module is inside the silicon at gate-level running. This is real-time, this is unbelievable. So that will be inside our ASICs, so they would have to buy our ASIC, which of course drives our system. So this creates a very nice competitive moat for us as well on the hardware. And to be fair, like to be intellectually honest, right, could we license in the future? So I think this is my thoughts on that one. If the volumes were ever in the tens of millions and we had a substantial market share of that, we would consider licensing it. But at this point, when this market is just starting and you are looking at only a handful of million units as the total annual volume at some point in the near future with all the OEM programs combined, we have an advantage. We want to win as many of these design wins as possible, and we are going to continue focusing on them. We have something very unique. This took a lot of blood and effort and ingenuity on our company’s and our engineer’s part to actually develop and we expect to monetize it.
Anubhav Verma: Thanks, Sumit. The next question is about competition, so a competitor recently filed shelf registration and another competitor is on the verge of becoming shareholder equity negative next quarter. When conveying MicroVision’s financial results this quarter, can you give more content on how well positioned we are versus the other SPAC companies and what will be the need for capital infusions to progress and when will the company exercise the ATM? Yeah, so let me take that. I think I addressed this question with Andres as well, so let me reiterate. We believe MicroVision is very different from the SPACs or a slew of companies that emerged out of the SPAC IPOs. I think they overspent in the name of growth. The investors saw some of these companies had raised a lot of capital and had projected much lower cash burn at their IPO valuations and while the actuals turned out to be much higher than what was projected. We on the other hand have been a mature public company and have been very financially disciplined. So obviously this advantage positions us as industry consolidators, and especially based on the price-to-cash ratio metric that I also discussed in my prior remarks. Again, we use ATM as an efficient tool to fund growth. I think the last time we used ATM was in June 2021. So, obviously, I also mentioned this to Andres that our cash burn and the runway positions us well and we would use this tool strategically only when the opportunities present themselves. The next question is what is the timing of OEM and Tier 1 LiDAR production decisions? Others have stated that they expect two OEM product selection designs to happen by the end of this year, Q1 2023. Is MicroVision hearing the same from the OEMs that they are in discussions with?
Sumit Sharma: I will take this. Yeah. We are hearing the same thing. We expect to engage RFQ in Q1. And any design win decisions, those are expected by summer 2023 at this point.
Anubhav Verma: Thanks, Sumit. I think the next one is interesting. Luminar made the statement that 905-nanometer LiDAR is good for traffic jam assist, but is not appropriate for highway speeds. Do you have any comments on that?
Sumit Sharma: This is a good question. I think first of all, I am going to start off saying, yeah. I think you have to be disciplined not talking about other people’s technology and things like that, but this is a direct comment about our technology, so I think I want to address it. I think this is an educated statement in my opinion. I will let the Luminar management defend that. I have no interest in actually parsing it. But I think it’s important for me to state the facts, all right? So I think it’s important for -- because we here all today, I want you guys to know the facts. We have been showing our LiDAR running on a demo car with 200-plus-meter range plus one, resolution at low latency, specifically for high-speed highway pilot. And the OEMs that you are talking about, that RFQs that are going up, they are for our high-speed highway pilot. What the final system becomes that’s unclear, but they are clearly looking for a high speed highway pilot, all right? My personal experience being part of these meetings that not a single one has been nothing but smiles because they see everything. So I have no idea what they are talking about. And if you really think about like 905-nanometer laser, I think they are referring to the Mercedes S-Class announcements that would happen I think about a year ago, that was the traffic jam assist. But that was based upon the technology, of course, the Valeo SCALA, which is the one that’s been commercialized so far. So nobody was on that one because that decision was making long time ago. But in general, 905-nanometer laser is embedded where their comfort level with that technology node is significantly higher. Our MEMS-based LiDAR, of course, also uses 905-nanometer laser, takes it to the next level and offers a competitive solution that will enable high speed highway pilot. So, again, when I heard this comment, I just was kind of shaking my head, I couldn’t really understand it. Our LiDAR significantly outperforms in range, high resolution, latency, lowest profile, of course, as I mentioned, and low power in a suitable form factor. And when you think about a roofline and you can look at what other OEMs that have announced products in the past, where they are effectively, what those products look like, they have like these big bump-outs on top of cars, that’s not reasonable our own car, I would never buy one of those and I think I will let the market decide what really happens. So I am not really sure what this statement is. I think it’s just -- it’s a statement about high-speed highway pilot, but our technology that we are demonstrating to OEMs that evaluating everybody, clearly they are stating that we are doing pretty well with our technology there. So we can enable sleek designs and I think we feel pretty comfortable with that. So I am not sure what they are talking about and what the factual basis for this statement is, but I will leave it to the investors and analysts to question them on that.
Anubhav Verma: Thanks, Sumit. The next one we are getting is, can you comment on the recent announcement of Ford and Volkswagen shutting down Argo and what impact does it have on the LiDAR industry? Let me take this one. This is a good one. Look, I think this further validates our strategy. We have always maintained that the path to a profitable business is really tapping into the L3 ADAS applications, which are poised to be commercialized by OEMs in the next few years. L4 is still the future, but we believe that the path to L4 will indeed go through L3 and it cannot be skipped. And I think this also validates the value of being financially disciplined from the beginning and focused on building a profitable business model in the near-term. And that’s why I think it’s a combination of our strategy and financial prudence, which actually positions us well and positions us well as compared to some of the over spenders that probably would exit the market, given what we are seeing with Argo.
Sumit Sharma: With this, I think we are out of time. Thank you everybody for joining us on our Q3 call. We hope to see you again as we provide our full year fourth quarter results next year in February. Thank you so much.
Operator: Thank you. This conference has concluded. All parties may now disconnect and have a great day. Take care.